Operator: Good day, ladies and gentleman and welcome to the Second Quarter 2014 Allied Motion Technologies’ Earnings Conference Call. My name is Derrick and I will be your operator for today. At this time, all participants are in a listen-only mode. We shall facilitate a question-and-answer session at the end of the conference. (Operator Instructions). I would now like to turn the call over to Ms. Sue Chiarmonte, Vice President and Treasurer. Please proceed.
Susan M. Chiarmonte: Thank you, Operator. Welcome to Allied Motion’s conference call to discuss the second quarter ended June 30, 2014. We’d also like to thank you for joining us on the call today. We distributed our press releases earlier this week actually yesterday late afternoon and copies are available on our website at www.alliedmotion.com. Today’s call is being broadcast live on the Internet and will be available for replay immediately after the call for 90-days. To access the Internet broadcast or the replay, go to the Company’s website click on the Investor Relations page and then click on the Webcast icon. As a reminder, please note that the Safe Harbor statements included in the press releases also apply to our comments made on this conference call. I will now turn the call over to Dick Warzala, Chairman, President and CEO of Allied Motion Technologies.
Richard S. Warzala: Thank you, Sue, and welcome everyone to our second quarter 2014 conference call. Please note that this quarter is the second full quarter of reporting that includes the Globe Motors results in our numbers. Here is the plan for today’s call. I will begin with a highlight of the year-to-date pro forma results and will then turn the call over to Rob Maida, our CFO, who will provide you with a complete and detailed financial review of the quarter and the year-to-date results. After Rob returns the call to me, I will further elaborate on our earnings announcement press release and will provide you with some additional insight as to the activities and opportunities we see for the future. Once that is complete we’ll then open the mics for questions. As previously indicated we will continue to provide unaudited pro forma information throughout 2014, as a means of providing a comparison of revenue, net income and earning per share, giving effect to the acquisition as compared to the historical results for Allied Motion. Accordingly, the Company’s pro forma financial information for the six-months ended June 30, 2013 to [inaudible] effect to the acquisition of Globe Motors as if it had occurred at January 1, 2013 compared to the actual results for the same period of 2014 are as follows. For revenue pro forma 2013 year-to-date was $104.1 million and the actual 2014 year-to-date is $122.5 million. For net income it was $3.9 million on the pro forma for 2013 year-to-date and the actual for 2014 year-to-date is $4.8 million, and results in diluted earnings per share of $0.43 on the pro forma basis for 2013 year-to-date and $0.53 for actual 2014 year-to-date. As a reminder included in the pro forma information is the additional depreciation and amortization resulting from the valuation of amortizable, tangible and intangible assets Interest and borrowings made by the Company, amortization of differed finance cost incurred to issue the borrowings, removal of acquisition related transaction costs, removal of certain costs for which Allied Motion would be identified by the seller and stock compensation expense related to shares issued to certain executives of Allied Motion as a result of the acquisition. That [inaudible] required to do so I did my duty, I understand that. And now what I will do is turn the call over to Rob Maida
Robert P. Maida: Thank you, Dick. As was reflected in our press release that was put out Wednesday evening the company achieved net income of $2,693,000 or $0.29 per diluted share for the quarter ended June 30, 2014, compared to net income of $819,000 or $0.09 per diluted share for the same period last year. EBITDA increased to $7.2 million in the quarter from $1.6 million for the same period last year and adjusted EBITDA, which excludes stock compensation expense as well as certain non-recurring items increased to $7.6 million in the second quarter compared to $2.7 million for the same period last year. Revenues for the quarter were a record $62.1 million, compared to $25.4 million for the same quarter last year. This is an increase of 145% with a 144% of the increase due to higher sales volume and 1% favorable currency change due to the dollar weakening against the euro. Looking at our total sales for the quarter, 64% were to U.S. customers compared with 54% for the same period last year, with the balance of our sales to customers primarily in Europe, Sweden and Asia. The 145% increase in sales, reflects higher sales at all TUs and is a result of 191% increase in sales to our U.S. customers and 91% increase in sales to customers outside the U.S. Bookings for the quarter were $63.5 million compared to $26.4 million for the same period last year, or an increase of approximately $40 million, resulting from the addition of Globe as well as increases at most of our TUs and reflects a continuation of growth recognized in previous quarters. Backlog increased 1.4% or approximately $1 million for the quarter to $80.8 million compared to $79.7 million at March 31, 2014 and compared to $26.9 million as of June 30, 2013. Our gross profit margins remain unchanged at 30% this quarter compared to the same quarter last year. Total selling G&A and engineering expenses were $6 million higher for the quarter as compared with the same period last year. This increase is largely due to the addition of Globe Motors, along with higher stock compensation expense and incentive compensation expense, resulting from improved profitability. Depreciation and amortization expense increased $1.4 million for the quarter from $417,000 last year to $1.8 million this year reflecting the additional depreciation and amortization related to the Globe acquisition. Interest expense increased for the quarter to a total of $1.6 million from $8,000 for the same period last year, and again reflects the additional debt associated with the acquisition. And we have $987,000 of capital expenditures during the quarter compared to $872,000 for the same period last year. For the six-months ended June 30, 2014, the company reported net income of $4.8 million or $0.53 per diluted share, compared to net income of $1.8 million or $0.20 per diluted share for the same period of last year. Revenues increased 143% to $122.5 million compared to $50.5 million last year with sales to U.S. customers up 195% and foreign sales up 84%. Of the total 143% increase in sales a 142% is due to increase in sales volume and 1% favorable currency change due to the dollar weakening against the euro. Bookings for the first six-months this year were $127.9 million compared to $44.4 million for the same six-months last year. The gross profit margin achieved was 29% for the six-months compared to 30% last year, which primarily reflects sales mix. Selling, general, and administrative and engineering costs increased by $11.9 million and primarily reflects the inclusion of Globe Motors SG&A along with an increase in incentive compensation due to improved profitability. Also included are higher engineering costs reflecting Allied Motion’s continued investment in our technical resources to better leverage the capabilities of both companies and create an increasing number of new opportunities, which meets the needs of our customers. For the year depreciation and amortization expense increased $2.6 million from $830,000 to $3.5 million, while interest expense was up $3.2 million to a total expense of $3.3 million reflecting the additional expense associated with the acquisition. Also, for the six-month period we had $1.5 million in capital expenditures compared with $1.2 million for the same period last year. Adjusted EBITDA increased $14.6 million for the six-month year-to-date compared to $4.8 million for the same period last year. Additionally, the six month period last year, excluded $638,000 of acquisition related expenses and $234,000 in expenses related to the move of our corporate offices to Amherst, New York. Total outstanding debt at June 30, 2014 was $82.5 million compared to $87.6 million outstanding at December 31, 2013 and $567,000 at June 30, 2013. We had $10.99 million of cash on hand at June 30, 2014, compared to $10.17 million at December 31, 2013 and $11.26 million at June 30, 2013. Therefore, our cash of debt position improved $5.9 million on December 31, 2013. Our DSO increased to 49-days of June 30, 2014 from 45-days at June 30, 2013 and it’s unchanged it from 49-days at the end of 2013. Higher sales levels with extended payment terms are contributing to this overall increase. These extended terms are customary end market segment served. Inventory turns increased to 6 at June 30, 2014 compared to 4.5 at June 30, 2013 and up from 5.1 at the end of 2013, and reflects better overall inventory management and certain high volume applications were inventory inherent returns more quickly, Our net stockholders equity at June 30, 2014 was $52.8 million, or $5.72 per share compared to $43.9 million or $4.96 per share for the same period last year. And finally, our Board of Directors just declared a $2.5 per share cash dividend that is payables of September 9th for shareholders of record August 27th. I will now turn the meeting back over to Dick Warzala.
Richard S. Warzala: Thank you, Rob. As I’ve done in the past year and I’ll keep with the practice and just in case, you have had any other chance to read the press release, I’ll read my statements to you. And then, I’ll elaborate a little bit and more detail on those statements. In the press release, I commented, we are very pleased with the record results for the second quarter 2014 as they validate our previous comments that we expect our revenues for 2014 to more than double relative to Allied’s 2013 pre-acquisition revenues and for the Globe acquisition to be accretive to earnings. When comparing the pro forma results of Allied and Globe for the six-months ended June 30, 2013 to the actual results of Allied and Globe for the same period of 2014, our revenues increased from a pro forma of $104.1 million in 2013 to $122.5 million in 2014 and our earnings per share increased from a pro forma of $0.43 per share in 2013 to $0.53 per share in 2014. Also, on a year-to-date basis, we experienced growth in our served markets of Medical, Vehicle and Aerospace and Defense, while our Industrial and Electronics markets were relatively flat. The Allied/Globe integration process, in which we have focused primarily on leveraging growth opportunities for the combined entity, is proceeding well. In September of 2014, we will take the process to the next level when we update our long-term strategy and establish the goals and objectives for our company for the next three years to five years. While, we consider 2014 to be a transformative year for Allied Motion, our long-term success will be further enhanced by leveraging the capabilities of both companies to design innovative “Motion Solutions That Change the Game” and meet the current and emerging needs of our customers in our served market segments. So, now what I’ll do is I’ll just expand on those comments and a little bit further and give you a little bit more color, but we are again the statement that we’re first back to our previous comment steady at the revenues are expected to more than double and Globe would be accretive to our earnings. At the statement was provided for reference purposes only and beyond that we’ll let to report the results for 2014 a year-to-date result revenues are $122.5 million and EPS of $0.53 per share, demonstrate that we are on track to meet the numbers that we presented. Globe continued with also, on a year-to-date basis, we experienced growth in our served markets of Medical, Vehicle and Aerospace and Defense, while our Industrial and Electronics markets were flat. It’s important to note that the comparison reflects the actual growth experienced by the combined entity of the Globe and Allied in 2014 over the actual data from Allied Motion from the prior year. In addition, with the many new opportunities we are pursuing, we are experiencing an increasing number that include multiple Allied Motion Technologies’ which we commonly refer to internally as Motion Solutions. We feel that the more we can leverage the full capabilities of the company the better our chances are to win the business and to improve our margins at the same time. Continuing in the PR it stated the Allied, Globe integration process and which we’ve focused primarily on leveraging growth opportunities for the combined entities preceding well and also mentioned in September 2014 we will be updating our strategy. During the conference call last quarter, we have reported that in the first week of April 2014 we assembled a team of 66 sales and engineering personal from both Globe and Allied to begin the process of defining and ultimately capitalizing and competitive advantages of the combined entity. We identified and then focused on the most significant critical issues on an interim basis which would lead us up to our strategy update plan for September 24 to 26 of this year. strategy update will result in us defining the critical issues in action plans required for us to achieve the goals and objectives that we will set for Allied for the next three years to five years. Beginning in the fourth quarter of 2014, we will utilize our strategy deployment process to ensure we execute and stay on track to meet the goals and objectives as defined during the strategy session. I fully expect our team will establish a new set of goals and will be both challenging and rewarding and will lead the company to change the game in all aspects of our business. The quote concludes with while we considered 2014 to be a transformative year for Allied Motion. Our long-term success will be further enhanced by leveraging the capabilities of both company’s to design innovative motion solutions that change the game and meet the occurred and emerging needs of our customers on our served market segments. For sake of clarity, we will continue to emphasis that this is what the Globe acquisition was all about, that is transforming our combined company into position us to achieve even greater growth and success in the future. We are in exciting and well-positioned company and we are more capable than ever, better server our target market segments. Internally you can comment on us to continue to utilize Allied Systematic Tools or AST for short to improve efficiencies and eliminate waste throughout our company, in doing such we will constantly focused on improving quality, delivery, cost and innovation. AST is critical to and helps create the path for success in all aspects of our business in all region of the world. Well I have previously discussed our commitment to continuous improvement and quality delivery and cost, I would like to remind you with some insight in to a few unique opportunities we have identified for our company. The first will be our sales and support organization we have the ability to define and shape our global sales and support organization to secularly positioned ourselves for long-term sustainable growth in the future. Our customers are looking for global support and we have to resource in global reach to provide them with what is required to meet their needs. And other unique opportunity for Allied Motion is the innovation area. Globe and Allied has already demonstrated the ability to provide game changing solutions to the development and sale of leading edged Power Steering Solutions and several types of vehicles and through high performance motor sized gearing solutions used in several cutting edge medical applications. Supported by a company culture that constantly challenges its team to provide solutions with the most compact, differentiated product or systems that change the game and add value to our customers products. We have the ability to leverage our current capabilities or even greater success in the future. Other one of the unique opportunities for our company is are geography, we now have strategic manufacturing capabilities in Europe, Asia and North America including lower cost production facilities in Portugal, China and Mexico. The Allied and Globe facilities are stated the art factories that took on the challenge to raise the bar and utilize technology to provide production capabilities that will endure well into the future even when the labor cost advantage begins to slip away. Once again we provide our customers with a manufacturing footprint that can service their needs in key areas of the world. In summary, Allied Motion is delivering solid financial results and by leveraging the capabilities of the combined Allied Motion and Globe Motors entity we’re optimistic that the best is yet to come. With that operator, we’re going to open the lines for questions.
Operator: (Operator Instructions) And our first will be from the line of Charles Neuhauser, Mainwall Investment Management.
Charles Neuhauser – Mainwall Investment Management, LLC: Hey, good morning.
Richard S. Warzala: Good morning, Charles. 
Charles Neuhauser – Mainwall Investment Management, LLC: Just on a very simplistic basis, obviously the earnings per share in the just reported quarter were noticeably higher than in the first quarter and I just wondered if there was any seasonality to those results or if it’s simply a continuation of your improving the efficiency of the operations and secondly looking forward in general is there any seasonal pattern to the business that we should be aware of? 
Richard S. Warzala: Charles, this is Dick, I’ll start and then I can turn it over to Rob. But again as we said, this is the second full quarter of results that we’re reporting with Globe. So I realize it’s understandable to ask the question because there really isn’t any historical data out there for you to compare with other than the pro formas that we provided. We do believe that there will be a little bit of seasonality and the seasonality also likely as we’ve seen even in the pro forma second quarter, we do see a spike up and we tend to see a little dip in the third quarter if we going back historically based upon our business in Europe. I have to stress that if you look at our sales in the second quarter – excuse me on that- you’ll see that the second quarter results on shipments were more U.S. based than in the previous quarter and they reflect again what we’re talking about as a little bit of seasonality that we might see in the second quarter. Rob you have any color you want to add to that?
Robert P. Maida: Yes. I think you did mention some seasonality additionally I do think that there has been some improvement, certainly we continue to drive AST throughout the organization for productivity improvements and I think we’re seeing some of that as well as we continue to integrate an on-board. 
Charles Neuhauser – Mainwall Investment Management, LLC: Great, thank you very much. 
Richard S. Warzala: Thanks.
Operator: (Operator Instructions) We have a question from the line of J.D. Padgett, ALMAK Capital.
J.D. Padgett - ALMAK Capital, LLC: Yes, hi good morning guys, another great quarter. Two quick questions if I could. I couldn’t remember, are there any sort of earn out provisions associated with Globe? 
Robert P. Maida: Answer to that is no.
J.D. Padgett - ALMAK Capital, LLC: Okay. And then secondarily it seems like Globe’s business has a little more customer concentration. Could you just elaborate on that end and if that was maybe because of some of the product went through distribution or they just have some larger more strategic customer relationships.
Richard S. Warzala: Yes, their product – to answer your questions does not really go through distribution, there are some reps that sell the Globe product, there is a network of reps around the world, but they do have larger strategic customers to answer your question. 
J.D. Padgett - ALMAK Capital, LLC: Okay. And then any sort of success stories in terms of approaching former Globe customers and cross selling previous Allied products or vice versa?
Richard S. Warzala: Good question. Former Allied and cross selling so forth, what our focus has been on really looking at the entire products set that we have to offer today, our solution set I would say between Allied and Globe. And to answer your question, we have few success stories, I can’t honestly say that you have seen any results yet in the numbers, but we’re also working on several others that we can leverage the products and capabilities of both companies. So it’s happening and there are opportunities for us.
J.D. Padgett - ALMAK Capital, LLC: So still really early innings in terms of building on any other synergies.
Richard S. Warzala: Yes, it’s sure is. You know when you recognize that as we talked before about that typically is anywhere from one to two years to get designed in and sometimes longer on some other uncertain platforms that by the time they get to production. So if you realize that we've gotten together now as a company or a combined entity for a little over eight months and are close to nine months here now. Eight and a half I guess to be exact but - so it will take a little bit more time, and it’s interesting to ask a question of that Allied and Globe, but I think what we’ve seen even on our most recent acquisition, the acquisition prior to Globe, Ostergrens in Sweden. We’re now seeing where some of the products have been leveraged between the solutions that they were offered before and the Allied products that were available now to be used in those applications. So it does take time. We are working on them. We have certainly identified some key opportunities where we think it can help us let’s say further entrench ourselves with our customers, provide a more complete solution and or improve our competitiveness and hopefully increase our margins at the same time. So the opportunities are yet to come there with Globe and Allied.
J.D. Padgett - ALMAK Capital, LLC: Okay, and one slight twist on that. Have you been able to leverage the purchasing power now of the combined companies to go after your supply base at all?
Richard S. Warzala: It’s in the works. It’s the same thing. Typically our products are custom designed and when we make a change to products many times our customers are involved in the process and we have to go back through approval processes depending on the type of change may make but to answer your question, there has been significant amount of activity across [organization] [ph] I would say all the suppliers but none of that has been realized yet.
J.D. Padgett - ALMAK Capital, LLC: Okay, great. Look forward to [inaudible]. Thank you.
Richard S. Warzala: Thank you.
Operator: And at this time I’m showing no further questions in queue. I would to turn the call back over to Mr. Dick Warzala for any closing remarks.
Richard S. Warzala: Okay, before I do closing remarks, we do have a couple of questions that did come in over the Internet - individuals that mentioned that we could not be on the call but would like to have us respond and as everyone is aware you can get back on later and listen to call. One of them was I think it’s been covered a little bit, are there any additional synergistic opportunities you can discuss associated with the integration strategy? We just talked a little bit about products and the opportunity to sell more of our products as a solution, we just talked a little bit about the opportunity to leverage purchasing power and to generates some synergies there. There is also in my comments I mentioned about our production capability and that production capability in North America, in Mexico, in Portugal and in China. We are very encouraged by the discussions we’re having with our global customers and those are the multinationals that we’re already doing business with, but are looking at our global footprint and asking us if we can produce on a local basis. We’re very much aware and I think we’ve emphasized in the past that when we purchase the Swedish operation that had the facility in China our plan was not only to utilize that facility to help service the existing customers and also to help serve the China market even better. So when you look at the cost of labor in China, the shipping cost, the logistics cost, the transportation delays that occur, we really believe that if you learn how to manufacture competitively and you have flexible manufacturing in regions where it’s required you can help eliminate some of those non-value added cost and in our China facility as it’s being utilized today and much of the product is being exported out of China will at some point in time be fully utilized or shipped to new customers and existing customers who are expanding their operations in China. So I think our footprint in manufacturing that we have is well received by our global customers and that’s an opportunity we will have to be able to leverage some of the synergies in the future. That’s one question. Now I’ll just send it back to operator to see if there are any others before I - I have another one here.
Operator: No question. Thank you. 
Richard S. Warzala: Okay. Next one was in previous calls you talked about on focusing on the integration of Globe, could you expand upon any current development and how the integration is progressing? I can certainly do that. I think one of the statements that we made early on is that plan was for the first year to operate the companies in relatively the same manner without changing much to get to know each, to get to understand the businesses better and not just go in and start making changes that we would have been mistakes, once we learned the true business opportunities later on. So I would say that we have made significant progress in the employees of both companies communicating and working on what those opportunities to leverage the entire company skill set is. And then we talked about this earlier, but we think it’s a significant benefit and opportunity we will have in the future. And the last I will start on this one and I will turn this over to Rob, because he is very silent over here, he is wishing he had some financial question, but I guess the numbers good, they didn’t give him any question. In fact you discussed focusing on interim critical issues leading to your strategy session in September can you further insight into the critical issues identified? There are some critical issues that have been identified interim that we are following through and probably the most important is to how – one of the largest critical issues facing us is in fact it was mentioned previously, I think by JD once customer concentration and one of the more critical items for us that we are focusing on is to make sure that we – what's most important to the company if you will is that we maintain those relationships with those critical customers where we have those concentration. So I would say that that’s where our focus has been leading up to coming into our September strategy session. Okay, and other one that honestly as we move forward here in order to take the opportunity to leverage synergies and so forth what that we've talked about is the structure, the business structure, and its always important for us to get the message out to our employees that they will look over your shoulder having a job, jobs may change, on the other hand as we look at what we – our footprint is today and how we are covering or providing coverage in certain countries in terms of sales and also in production that even though they might change they are still good on opportunity for our employees that make sure that we leverage that capability and those synergies in a proper manner. So I think Rob hit number one that we identified that as an interim that is secure to make sure that we maintain those customer relationships that are most important to us right now and hence acquisitions there is an under easiness in the market that I think we've done a good job so far in suppressing any concern and we have not lost any customer because of that. As a matter of fact, I think we are doing a good job in ensuring that we will have increased opportunities with that customer base. Other than that there are several others, but the strategy session is important, it will define where we are going for the next three to five years, it will set some goals and objective that will be certainly aggressive and I think our team will be up to the task to make sure that we achieve those. So that’s it for the question we were sent and if there are, I will let to you try one more for any other question, if not we will close the session.
Operator: (Operator Instructions)
Richard S. Warzala: Okay. I will take that a signal that everyone is satisfied and we thank you for your participation and we look forward to talking to your again next quarter.